Operator: Welcome to the Corn Products International First Quarter 2012 earnings conference call. At this time, all participants have been placed on the listen-only mode until the question-and-answer session. (Operator Instructions). This conference is being recorded. If you have any objections, please disconnect at this time. I would now like to turn the call over to Mr. Aaron Hoffman, Vice President of Investor Relations and Corporate Communications for Corn Products International. Sir, you may begin.
Aaron Hoffman: Thank, Wendy, I appreciate it. Good morning, and welcome to Corn Products’ first quarter 2012 earnings call. Joining me on the call this morning are Ilene Gordon, our Chairman and CEO, and Cheryl Beebe, our Chief Financial Officer. Our results were issued this morning in a press release that can be found on our website, cornproducts.com. The slides accompanying this presentation also can be found on the website and were posted about an hour ago for your convenience. As a reminder, our comments within this presentation may contain forward-looking statements. These statements are subject to various risks and uncertainties. Actual results could differ materially from those projected in the forward-looking statements and Corn Products International is under no obligation to update them in the future and, or if circumstances change. Additional information concerning factors that could cause actual results to differ materially and those discussed during today’s conference call were in this morning’s press release and can be found in the company’s most recently-filed annual report on Form 10-K and subsequent reports on Form 10-Q and 8-K. With that out of the way, I’m happy to turn the call over to Ilene.
Ilene Gordon: Thanks, Aaron, and let me add my welcome to everyone joining us today. We appreciate your time and interest. The first quarter came in very much as we anticipated. You’ll recall that we indicated in February that we expected adjusted EPS to be down slightly in the first quarter. This was a result of both a very difficult comparison with the first quarter of 2011 and the timing of raw material costs in each year. As a reminder, 2011 was a front-end loaded year and the first quarter was the strongest period. 2012 is likely to be the opposite with results getting stronger as we move through the year. Given that view, we are all the more pleased with delivering what is the second highest quarterly adjusted EPS in our history. If the back half plays out as we anticipate, that implies a very strong year in line with our guidance. Beyond the overall good EPS performance, we also saw volumes increase for the company, driven by strong performance in North America. We experienced very good demand for the beverage and brewing industries. Sales were further driven by robust pricing across the organization. We continue to demonstrate the ability to appropriately pass through higher input costs. Finally, as we previously announced, pending shareholder approval, we intent do change the name of our company to Ingredion. We fundamentally see this name as having a much better fit with our business model and our portfolio. While corn is our primary raw material, having that in our name does not reflect our business strategy, as we don’t raise or trade crops and we don’t speculatively hedge or run for-profit logistic operations, we are more properly defined as an ingredient company. Ingredion clearly conveys who we are. With approval of the name, we intend to make the change official on or about June 4 and will begin trading under the ticker INGR on the New York Stock Exchange. Let’s now take a quick look at our regional business performance in the quarter. Starting with North America, as I mentioned earlier, volume rose on strong soft drink and brewing sales. At the same time, we achieved incremental pricing to offset higher raw material costs. Operating income fell by just $1 million. Let me put that in context as we were lapping one of the strongest quarters we’ve had in North America. We were also [inaudible] at the timing and pricing of our hedges were more favorable a year ago. All told, this was a very good quarter in America and tipped the stage for another strong year. Turning to South America, we’ve taken significant pricing actions there to offset higher input costs and devaluing currency. However, the first quarter saw slower economic activity. The decline in operating income resulted from a combination of lower volumes and foreign exchange headwinds. We expect the price the price through the foreign exchange during the year to mitigate its impact. In fact, we expect year-over-year growth in operating income for this region. We continue to make significant capital investments and are setting ourselves up to benefit from growth in the region as well as from the upcoming World Cup and Olympic Games. The long-term prospects in the region remain compelling. We continue to see mixed demand trends in Asia Pacific. Volume was stable and operating income increased. In our EMEA regions, sales fell slightly, which should be viewed as a positive considering the challenges we’re facing with the sluggish European economy and ongoing energy issues from our customers in Pakistan. Operating income was down due to the soft volume. As I turn the call over to Cheryl for review of the results, I will reiterate that the first quarter was very much as anticipated and that we remain confident in our full-year guidance. Our business fundamentals continue to be strong and we see significant opportunity for growth this year in the future. Cheryl?
Cheryl Beebe: Thank you, Ilene. Good morning, everyone, and again, thanks for joining the call. As Ilene indicated, this was a very good quarter and we are on target to deliver another year of earnings growth. As I have mentioned in the February earnings call, this would be a year where we expected second half to be stronger than the first half; the exact opposite of the progression last year. This swing is primarily due to the layout each year of the corn call. In addition, there were a few items that would not repeat, such as the NAFTA settlement of $58.4 million, which is in last year’s first quarter operating income and net income respectfully and the EPS impact was $0.75. Integration costs, as one would expect, will be lower as we wind down and complete the integration. The first quarter last year was also the quarter that had the lowest corn costs and was the highest performing quarter with respect to gross profit and operating income and earnings per share. While we do not typically comment at this level of detail on earnings guidance, and our guidance is giving annually, we feel it is appropriate in order to help understand how we expect to perform from a comparative perspective year over year. Net sales were 1 billion, 574 million, up 114 million or 18%. The net sales growth was driven by pricing of 121 million, volume was a positive 16 million and weaker foreign currencies had a negative impact of 23 million. The foreign exchange impact reflects the devaluations in South America, primarily Argentina and Brazil, 8% and 6% respectively, and in the EMEA region with the Pakistan Rupee climbing 6% and the euro down 4%. Gross profit was 269 million, versus 298 million last year. Considering the comparable period’s strength and the impact of the layout of our hedges, we are pleased with our performance. The gross margin percentage was 18.8%, which is 160 basis points below last year, reflecting the impact of higher pricing in the calculation. Operating income on a reported basis was 161 million, down approximately 66 million from last year. The $66 million decline in operating income is made up of the NAFTA settlement of 58.4 million, approximately 5 million of higher operating expenses to support our larger business, 4 million in restructuring charges for the North American manufacturing optimization which was largely accelerated depreciation, and about 3 million in miscellaneous other income derived from a bunch of smaller items like scrap sales, disposals, insurance settlement among others. Earnings per share on a reported basis were $1.21 compared to $1.97 last year, which included the $0.75 NAFTA settlement. On an adjusted basis, EPS [inaudible] $0.02 from a year ago. The increase of the whole company net sales was 114 million. Price, mix and volume, 121 and 116 million respectively. [Inaudible] to offset the weaker foreign currencies of 23 million. The business model continues to hold up well in the face of rising costs and currency fluctuations. On a regional basis, pricing mix was robust across each region. Net sales in North America increased by 14% or 112 million on pricing mix and volume. South America was flat as we realized another quarter of pricing increases. We also saw the soft volume along with the weaker riyal and peso. As I mentioned in February, we expect volume to be more robust in the second half for South America as the region recovers from the economic slowdown in Brazil. We also expect to see lower input costs, which should ease some of the pressures on pricing and contribute to a rebound in volume. Asia Pacific grew net sales by 7 million, driven by stronger price mix; volume and currencies were flat. EMEA’s net sales declined 3% or 4 million on weaker volume and FX pressures. While pricing mix was still robust at 7%, it was not enough to cover the volume and the FX headwind. We expect EMEA to continue to face some headwinds in the coming quarter in light of the economic slowdown in Europe and energy challenges impacting our customers in Pakistan. The operating income view on a regional basis reflects the slight decline in North America of $1 million, a $3 million decline in South America, a positive 1 million impact in Asia Pacific and a $3 million decline in EMEA. Corporate expenses were up 3 million, reflecting the buildup of staff to cover our expanded business. Restructuring integration expenses for the quarter were 6 million of which approximately 3 million is the accelerated depreciation charge for the manufacturing optimization in one of our U.S. plants. Turning to the EPS bridge, the impact on operations was a negative $0.07. Breaking that down, margin was a negative $0.09 and the FX impact was a negative $0.03. Volume was positive at $0.02 and a number of small items contributed $0.03 to other income. Non-operational items contributed $0.05 with the reduction in financing costs contributing $0.06, partially offset by a negative $0.01 from the tax rate. Financing costs in the quarter were lower compared to a year ago due to lower rates and an unfavorable foreign exchange loss last year. The business generated positive cash flow from operations of 29 million for the three months ended March 31, 2012. Net income was 96 million and depreciation and amortization was 54 million. The mark-to-market impact on our margin accounts was a negative 32 million and we invested 122 million in working capital. The working capital investment is a combination of higher receivables due to sales, inventory build for the second quarter, which is in line with normal business practices, and lower payables due to the timing of specialty corn purchases. We continue to invest in our business around the world and capital expenditures for the quarter were 59 million. We saw a higher dividend payment of 17 million, that reflects the impact of the two increases made in 2011, which brings the annual dividend rate to $0.80 per share. Changing gears to look at the full year, we are maintaining guidance both on a reported and an adjusted basis. On an adjusted basis, we expect EPS to be up 7 to 12% despite some of the challenging economic conditions. Our range is built on anticipated volume growth, more towards historical level of 3 to 4%, strong pricing for input costs and a weakening foreign exchange outlook. The effective tax rate for the year is currently estimated to be between 31 and 33%. Given the number of questions we get on cash flow, we decided to add a slide this quarter to update you on the full year outlook. Our cash flow from operations forecast is around $600 million. We expect the margin account to remain stable and to reduce inventory levels as we progress through the year. Our capital spending forecast is between 275 million and 325 million. At the current annual dividend rate of $0.80, we would expect the dividend to be around 60 million. Pricing actions were in line to support the higher-cost environment. High capacity utilization rates are expected in 2012 along with strong export demand in Mexico. Volume and operating income in North America are expected to increase. We expect to realize increased spread as a result of the pricing. The next sales and operating income growth in South America is anticipated to come from a roughly 3% increase in volume, solid pricing to cover costs, partially offsetting foreign exchange evaluations. One note about the volume, we expect it to accelerate over the course of the year as the economic activity improves. In Asia Pacific, similar to South America, we expect to see strong volume growth, which would contribute to the increases in operating income. While foreign exchange is a headwind, we expect business to manage through it. Unlike South America and Asia Pacific, currencies are expected to be problematic as the European business model is a combination of local and imported production. Movements in the euro and pound are more difficult to recapture because we anticipate volume growth based on the more specialty nature of this business. The guidance range incorporates both of these factors. Pakistan’s energy crisis remains a challenge for many of our customers and has muted demand. All in all, while every year has it’s challenges, we expect the combination of our local execution and risk management philosophy to help us deliver on our shareholder promise. With that, I will pass the call back to Ilene for closing comments.
Ilene Gordon: Thanks, Cheryl. As I’ve done on previous calls, I’ll wrap up with our strategic blueprint, which continues to guide our decision making and strategic choices with an emphasis on value-added ingredients for our customers. We’re off to a good start for the quarter ended [inaudible] and sets us up to achieve our full-year guidance. Volumes rose through the company in spite of some softness in a few regions. As Cheryl detailed, we fully anticipate stronger results as the year unfolds. At the same time, the sound capital investments that we’ve made in recent years are starting to pay off [inaudible] assess the long-term success. We anticipate [inaudible] the second half of the year with the transition to our new name, Ingredion, which will help properly define our company to the market, our customers, our suppliers, our employees and other audiences. In sum, I’m confident that we are well positioned to deliver another good year while setting ourselves up for the future. And now, we’re glad to take your questions.
Operator: Thank you. (Operator instructions). Our first question today is from Heather Jones and please state your company name.
Heather Jones – BB&T Capital Markets: Good morning, great quarter.
Ilene Gordon: Thank you, good morning, Heather.
Heather Jones – BB&T Capital Markets: I have a couple of questions, well, three actually. I was wondering if you could give us some color on looking at South America, you’re commentary is consistent with what we’ve heard from some other companies. And just wondering, as we get - as we move into – we’ll we’re now in Q2, are you seeing strengthening volumes, because we’ve heard that the environment was softer more at the beginning of Q1 and began to strengthen as we exited Q1, and I just wonder if you could give us some color in what you’re seeing?
Ilene Gordon: Yes, this is Ilene. You know, Heather, we’re seeing pretty similar. I mean, things are starting to pick up very slowly. But we’ve seen some better performance out of processed foods, and even confectionary when you look at versus last year, I think, I remember stating a few calls that the confectionary was a little bit weak last year, and exports were difficult. But we’re seeing processed foods and confectionary pick up. The brewing side is just getting started, and I think, as you’ve seen some of the announcements, I think everybody believes that the next increase in minimum wage will help fuel some of that growth.
Heather Jones – BB&T Capital Markets: Okay, and what – and can you remind me of the timing of the next increase?
Ilene Gordon: The minimum wage?
Heather Jones – BB&T Capital Markets: Right.
Ilene Gordon: I think it’s coming up this second – during the second quarter.
Heather Jones – BB&T Capital Markets: Okay, and then in North America, I noticed in your slides something about building inventories in anticipation have continued strong volumes in Q2. Are you expecting a similar pace of growth as you saw in Q1 in North America?
Ilene Gordon: Let’s be certain, Q1 was a bit stronger than what we had anticipated, and so we would expect that to continue to the second quarter. And actually, for the full year, as I look at from where we were in February, we see the North American [inaudible] a little bit more robust driven by Mexico, and a little bit weaker in the rest of the world which puts us back towards the total company historical norm of volume growth in that 2-3% range. We were hoping that it would be a little bit stronger more towards the 4-5%, if you will, when we came into the year in February with a slow first quarter, we’ve made some adjustments.
Heather Jones – BB&T Capital Markets: So, 2-3% for the entire company, and that’s going to be more driven by North America than you previously anticipated?
Ilene Gordon: That’s correct, Heather.
Heather Jones – BB&T Capital Markets: And is it all the brewing and soft drinks, because – I mean, I’m sure you’ve seen commentaries from packaged food companies – it’s not only they’re struggling with sluggish volumes, but they are struggling with very weak volumes, and then you come out with a plus 4%. It’s, you know, a very positive surprise, is that being at all driven by brewing and soft drinks?
Ilene Gordon: Yes, you know, absolutely. The soft drink demand, as you know, will pick up even more during the year because of seasonality, but yes, the brewing in Mexico continues to be strong. So, we would – our business would be consistent with what you are observing there.
Heather Jones – BB&T Capital Markets: Okay, and finally on Q2, and I know you don’t give quarterly guidance, but last year if you exclude the Argo issue, you would have done, I think, was a $1.22. Should we expect year on year growth from that $1.22 in Q2?
Ilene Gordon: I think that it’s consistent with the prior comments, Heather, is that the first path is going to look relatively comparable with last year, adjusting for the Argo, and that we’re heavily weighted toward the second half of the year.
Heather Jones – BB&T Capital Markets: Okay, all right, thank you.
Ilene Gordon: You’re welcome.
Operator: Thank you, and our next question is from Ken Zaslow, and please state your company name.
Ken Zaslow – BMO Capital Markets: Thank you much. Hey good morning everyone.
Ilene Gordon: Good morning.
Cheryl Beebe: Good morning, Ken.
Ken Zaslow – BMO Capital Markets: One big picture question, I know you guys are trying to move to a more of an ingredient type company with the name change, but with that would you not argue what a greater dividend would also actually put you – actually, not just by name sake in that category, but would put you more as a [inaudible] more the ingredient companies with a higher dividend rate, and can you talk about why you would not start to move in that direction as well.
Ilene Gordon: Ken, I would agree with you, you know, we right now have looked at having a payout of 15-20% and I do agree that some of the ingredient companies have a number closer to 20-25%. I think what we’re looking at really is what we’ve said before, is that we have many capital projects with a very good payout that we’re looking at, and that is always our first priority for long term growth. But I think as we’ve shown in the past year, we do think very favorably about dividend payout, so that is something that we could be looking at.
Ken Zaslow – BMO Capital Markets: So, would you expect a – you know, over the course of the next two to four years, a material step up in the payout ratio, is that how – or is it something that is a wait and see – I couldn’t just figure out what you’re telling us.
Ilene Gordon: Yes, what I would say is that we will be seriously looking at it over the next couple of years as we look at our capital expenditures, and frankly, as I’ve mentioned on other calls because you asked for kind of a long term outlook on both on opportunities, and so, again, we look at growth investments as a first priority assuming that they fit with the strategy and they are bought for the right price. But at the same time, I agree with you that dividend payout in line with an ingredient company should also be a priority.
Ken Zaslow – BMO Capital Markets: Great, my second question and then I will pass it on is the margin structure in North America is actually better than I thought as well, can you talk to me about what really happened, you know, beneath the volume number, was it just operating leverage, was it a cost structure, was it operating efficiencies, can you just talk about what is [inaudible] structure, and what the outlook on the margin structure [inaudible]?
Cheryl Beebe: Ken, it’s Cheryl, it’s a combination of all of the above, it was the [inaudible], it was the operational efficiencies from our cost saving initiative, and it was [inaudible].
Ken Zaslow – BMO Capital Markets: Would we start to – would you actually start to get some of the benefit in the back half of the year regarding the makeshift, or is that still a 2013 event, and can you just walk us through some of the math on that, and I will really end it there, thank you.
Cheryl Beebe: If I look at the layout for North America, if we look at last year, the operating income to net sales ratio was just slightly under 10%, I would expect that we would be in the same bucket, or zip code, for 2012. The North American numbers unlike the total company numbers are a little more weighted toward the first half as opposed to the second half, so I would expect that the first quarter’s operating income to net sales ratio is going to be the highest – almost similar to the layout last year, Ken, where we were at almost 12.9%, and then we dropped down to the 8%, 8-9%, and that averaged out to almost close to the 10% for the year. I think we’re going to see that same pattern in 2012, and so, part of the benefit in the first quarter, not only is the high utilization, the pricing, but again, it is also the layout of corn costs.
Ken Zaslow – BMO Capital Markets: Great, I truly appreciate it, thank you.
Operator: Thank you, our next question is from Tim Ramey, and please state your company name.
Tim Ramey – D.A. Davidson: Good morning, it’s D.A. Davidson. Cheryl, you gave price mix of 8% overall for the company, and as we, you know, kind of become focused on the idea of ingredient, and more specialty products and so on, is there a way that you could give us some sense of the mix between price and mix – IE did, you know, product mix, contributed a larger perk to that, or was it really more commodity?
Cheryl Beebe: It’s a little but challenging to answer that, Tim. We’re still in the process of finishing the systems integrations, and so, in order to get it down to between what the price versus mix is a little bit more challenging, but as we go forward more towards 2013, that is one of the things that we’re striving to do, because it is an excellent question with regards to what’s driving the business and being able to talk about what’s mixed with the specialties versus what’s price across the core ingredients I think would be helpful to the investors.
Tim Ramey – D.A. Davidson: Is that a function of the final phases of the SAP change over, or what’s not in place to get that?
Cheryl Beebe: It’s two things, first of all, the SAP integration on a global basis is not done, we’ve just brought up the US, Canadian business on February 1, and we are bring up the European business in May, and then the rest of – there’s a few Asian businesses that need to come on line in the later part of the third quarter. So, that then finishes the infrastructure build from a transactional stand point, then we’re laying on top of that to reflect the new improved business model, and the emphasis on innovation and specialty growth – we’re actually building the business analytics that would allow us to have the integrity behind the data to actually talk about what I’m going to call sweeteners, starches, modified starches, and a little bit more color and detail.
Tim Ramey – D.A. Davidson: Okay, and you were just speaking a moment ago about uses of cash, and how CapEx would be higher priority than dividends, if you think about, you know, just kind of broad brush, the next three years of CapEx spending, what percent of that might be more focused on revenue opportunities versus cost opportunities?
Cheryl Beebe: Well, generally speaking, most of our capital goes towards growth opportunities, and the growth opportunities all define in two buckets, one is revenue, so it’s volume for organic growth. And the second would be for cost savings, the ability to reduce our energy cost, water consumption, chemical usage, packaging, and supplies. And so, if I do it as a rough percentage, I would probably say 75% of our capital spend is always towards improvement at the operating income through the combination of revenue growth and cost savings.
Ilene Gordon: And I think – Tim, this is Ilene adding to that – I mean, the revenue, of course, is geared toward the growing economies, Brazil, Mexico, you know…
Cheryl Beebe: Argentina.
Ilene Gordon: Things that we’ve been talking about in previous calls, but of course, and then the other piece that Cheryl’s also referring to, it’s not just cost reduction, but there is a maintenance piece that we’ve always said is probably a base level of about 75 million of the 300 million average number per year that is just what I call base loading – keeping things going and running a good operation.
Tim Ramey – D.A. Davidson: Terrific, thanks so much.
Ilene Gordon: You’re welcome.
Operator: Thank you. Our next question is from Christina Mcglone and please state your company name.
Christina Mcglone - Deutsche Bank Securities: Thank you, Deutsche Bank. Good morning. I guess when I look at the changes in the regional outlook this time versus last quarter and so as you said North America's stronger and the rest of the world is a bit weaker in volumes, overall weaker, does that put you in a different range within, the guidance range you gave us does it now seem like we’re maybe a little bit lower than you thought? Or does it make up for it so that we're pretty much in line with what you thought for the year?
Ilene Gordon: I think there were pluses and minuses that kept us in the range and why we're comfortable with the 5 to 525 on an adjusted basis. You know, we never specifically pinpoint where in the range we are, but if I look at, I think we're being appropriately balanced with the volume. If we see a stronger pick up in the 2nd quarter or ever more robust in the 3rd and 4th, obviously that puts us towards the higher end of the range. As volume remains where it is then we're probably more towards the middle of the range. And you know, we've got the currencies bouncing around, if I look where the Riyal was on the February call versus where it is today there's some room in there as well to take care of some of the FX. But if there was a major explosion on the Euro then I would say that I would have to rethink the range.
Christina Mcglone - Deutsche Bank Securities: Okay, that's helpful. And then for North America, since volumes were stronger than expected and now you expect that to continue through the year, what gives you confidence that they'll stay strong?
Ilene Gordon: I would say certainly we know that we have the summer season in North America coming up from the soft drink demand. And the same thing in terms of Mexico, not just the beer demand, but the economy in Mexico, if you look at some of the GDP numbers, it's still one of the fastest growing economies from a GDP point of view. So we're excited about the opportunities there.
Christina Mcglone - Deutsche Bank Securities: And the seemed to strengthen a bit more in the 1st quarter? I guess I'm just trying to understand why you went in stable volumes and now it's stronger. Is it because of the warmer weather?
Ilene Gordon: Yes, I think people were always nervous early in the year. You know, you're in the winter season and you're looking at what does the year look like, and so we just saw that the orders that are coming in were increasing the demand for that beverage side as well as some of the food side in Mexico. So we believe that there's enough strength in those economies to drive those numbers.
Cheryl Beebe: And I would add one other color comment, and Ilene mentioned it earlier in her prepared remarks, is that in addition to the confectionary and the beverage we're also seeing very strong growing demand and we provide grits into the brewing industry in Mexico. And so I think those are the two main drivers behind why we thought that volume would be stable. Meaning that, you know, it wasn't declining but it wasn't necessarily growing, to now where we see some volume growth.
Christina Mcglone - Deutsche Bank Securities: Okay, got it. And then last question, sometimes I think there's still a perception about CPO that depending on swings in corn it's going to change how you're operating and [Inaudible] works, and I'm just wondering, can you talk about how the company was positioned relative to corn before National Starch and how it is today? So if we see corn start to fall with a very big new crop, what does that mean for corn products?
Cheryl Beebe: Okay, well I have to take this in two different pieces Christina. One is that the North American business is a contracted business, so again, rough numbers, 50% is grain related and 50% is firm price. So on the grain related piece as corn prices drop our revenue line will come down, but our absolute dollars remain the same. On the firm price, because we're hedged it doesn’t have much of an impact through the year other than on the cash flows as the margin increases. So that means we pay up to the market and we recover that when we actually buy the physical corn and sell the product to the customer. On a following year basis, lower corn, and again sticking with North America, should be beneficially because if some of the volume weakness in the North American market is being driven by the pricing of goods to consumers, then I would think this would bode well for perhaps having a positive impact on demand. In the rest of the world because of the nature of the business model, we adjust the pricing to reflect current market conditions, typically 30 to 60 day lag. So again, when you think about how much pricing has gone on in the last two years to cover the rising corn cost, I would think that a declining corn cost would actually bode well based upon the business model, both North America and the rest of the world because I believe it would have a favorable impact on volume.
Christina Mcglone - Deutsche Bank Securities: Okay, thank you, that's very helpful. I'll pass it on.
Operator: Thank you, our next question is from David Driscoll and please state your company name.
David Driscoll - Citi: Citi Group. Good morning everyone.
Ilene Gordon: Good morning.
David Driscoll - Citi: Again, a couple of questions. The first one is on foreign exchange. So given that profits were down year on year in the quarter, is it fair to say that pricing was insufficient to cover forex thus your statement that you will cover foreign exchange pricing requires some kind of additional pricing in future quarters. Would you guys agree that I have your statements correct.
Cheryl Beebe: That's correct. The FX and it depends upon which part of the world. Obviously, in Europe we're not going to be able to recover the FX, but when we look at Asia Pacific and we look at South America the answer would be yes. And it's a pretty, in total the FX year over year change is a pretty significant. It's probably somewhere between $.17 and $.20 on an annual basis year over year.
David Driscoll - Citi: I do these calculations myself and I agree it is a significant number, which is why the last couple of quarters I keep asking this question. So at the end of the quarter was your pricing in place or do you still have more to go?
Cheryl Beebe: The pricing is dynamic. So let's take South America, we're seeing the currencies, especially the Riyal, devalue at a slightly faster clip than what I would have thought in February. And so they are continuing to price, but as we've talked about there's typically a bit of a lag. We've been very successful in passing through the corn costs so I think when you look at the market as it goes forward for the remaining 3 quarters Dave is that as corn prices are coming down that will help the pricing model to cover the FX headwinds.
David Driscoll - Citi: Okay, that makes sense. Cheryl can you talk a little about the pacing of corn costs? Certainly in North America you got a healthy price increase this year, corn costs are up, but can you talk a bit about the pacing of how the corn costs work and it's not an average corn cost that you apply to the quarter, it's going to relate to the hedges that you have in the different quarters. Or please correct me if it's need to be.
Cheryl Beebe: No, you're on, you're spot on Dave. The issue is that the corn costs, again let's be specific about North America, is about 50% of the local business is going to be grain related. So there will be the ups and downs related to that. And then relative to the firm price it's how the team laid out the physicals and the future. So if you think about on last year’s we had lower priced corn at the end of the year than what we did in the quarter, so we were able to use that lower price corn and the cost of production at the same time the prices were going up. So that's that quarterly impact as opposed to the whole year where it works itself out. So in a normal environment where you don't have the volatility in the corn we typically have the lower price corn in the first half and it gets more expensive as you go through the year just because of the carrying costs on the futures.
David Driscoll - Citi: But that's of course not true this year, this year it's going to decline as we go forward?
Cheryl Beebe: That's correct.
David Driscoll - Citi: Okay. In 2nd quarter, I forget who asked this question, but somebody asked a good question about the year ago 2nd quarter $1.20, and I think the plant shut down cost was $.10…
Cheryl Beebe: Yes, $.10.
David Driscoll - Citi: So then it's like $1.20, were you saying that to the best guess that you have right now, that you're comparable to that adjusted number of $1.20, is that what you're trying to tell us?
Cheryl Beebe: That's correct.
David Driscoll - Citi : Okay, so wrapping it all up, bottom line you talked estimates by $.04, but you said full year volumes would be weaker than expected at $.02 to $.03, down from $.05. You said the quarter was as expected, so maybe our consensus numbers don't mean anything, thus it sounds like the net read is modestly negative on weaker volumes? Do you guys agree with that and is there any other offsets that you want to call out?
Cheryl Beebe: No, actually what I would say is that the weaker volume is that we thought that there would be a little bit more robust growth in the international arena. And it's come down a percentage point or two. When you think about the leverage of North America and so the fact that North America is going to be up a couple of percentage points I weigh North America more importantly so that's why we did not change the guidance range, we left it at the 5 to 525 because I think when we look at where the growth was coming from we were positively optimistic.
David Driscoll - Citi: Okay, thanks very much. Good quarter. Take care.
Ilene Gordon: Thank you.
Cheryl Beebe: Thank you.
Operator: Thank you. Our next question is from Lindsay Drucker Mann. Please state your company name.
Lindsay Drucker Mann – Goldman Sachs: Thanks, good morning, everyone; Goldman Sachs.
Ilene Gordon: Good morning.
Lindsay Drucker Mann – Goldman Sachs: Just to get back on North America and to clarify, last year you had some funky items that made the quarter look especially good. Are you saying that this year the strong performance is really a good run rate sort of figure and there’s nothing that’s inflating numbers and this is actually a good reflection of how strong the business truly was?
Ilene Gordon: I’m not quite sure what the question is. If I look at last year’s first quarter for North America, as well as for the total company, we had the benefit of the pricing with the lower corn cost. And then as the year went on, so to be very specific, we had a GP in the first quarter of 20.4% that came down in the second, third and fourth to average for the 18%. If we look at North America, are you referring to the NAFTA settlement?
Lindsay Drucker Mann – Goldman Sachs: No, I’m actually saying the timing of realized revenues versus realized corn costs was very favorable in the first quarter of last year, and so that gave you a pretty good number versus maybe an average spread.
Ilene Gordon: That’s correct. That’s going to be the same this year as well.
Lindsay Drucker Mann – Goldman Sachs: Got you. Okay. When we looked at some of the industry data for some of the key wet mill production products, high fruitous corn syrup and other sweeteners and starches, it looked like industry volume in the U.S. slowed in the period which is, you know, makes your strong performance particularly striking. Is this a function of you, perhaps your regional mix being better than what is just stated in the USDA U.S. numbers? You know, more favorable result exposure or are you taking – do you think you’re taking share of other wet mills?
Ilene Gordon: You know, I – this is Ilene. We do ship down into Mexico as well as we produce locally and so I started to do some of the industry data and yes, we’re a little bit higher, but again, I think that when you look at the export for the region, I think we’re very much in line with the industry and that there’s demand that’s growing in Mexico that continues to help the overall regional picture.
Cheryl Beebe: And I don’t think, based upon looking at the CRA data, that there’s been any movement in market share.
Lindsay Drucker Mann – Goldman Sachs: Okay. Can you talk about why we did see exports to Mexico slow in the period or why we’ve seen them slow?
Ilene Gordon: You know, I – in terms of the data overall, you know, I don’t see that they’ve really slowed down. So you know, the CRA, overall, was –I think showed data that was up – I don’t know, up almost 1% including exports. So you know, it depends, I guess, on how you segment the data. But I think that people feel that the demand in Mexico continues to be robust.
Lindsay Drucker Mann – Goldman Sachs: We were just looking at the USDA data on high fruitous corn syrup shipments to Mexico and the data we saw seemed to slow, but maybe we’re looking at something different. I guess then that the peso – movement in the pesos haven’t had any impact in purchasing power there?
Ilene Gordon: No, not that we’ve seen.
Lindsay Drucker Mann – Goldman Sachs: Okay. Thanks very much.
Ilene Gordon: You’re welcome.
Operator: Your next question is from Akshay Jagdale. And please state your company name.
Akshay Jagdale – Keybanc Capital Markets : Yes, it’s Keybanc, and good morning.
Cheryl Beebe: Good morning.
Akshay Jagdale – Keybanc Capital Markets: Hi, so, I wanted to ask a little bit about the rest of the world. So volumes, can you just tell me why volumes in this quarter were weaker than you had hoped for?
Cheryl Beebe: They have a lot to do with the economic slowdown that we are seeing in both in Europe, China, or Asia Pacific, and South America.
Akshay Jagdale – Keybanc Capital Markets: Right, so – and again, you’re hoping that the economies and the growth there picks up, so, again, it could end up being a similar situation if GDP doesn’t, you know, accelerate I guess from where we are today.
Cheryl Beebe: That’s correct.
Akshay Jagdale – Keybanc Capital Markets: Okay, and then just going back to North America, following up on the previous questions, is there – can you give us a sense of that 5% volume number in North America – I mean, how much of that was really related to exports?
Cheryl Beebe: We don’t break out, we report North America on a North American basis, we don’t get into how much is in Mexico, how much is in the US, or Canada.
Akshay Jagdale – Keybanc Capital Markets: Okay, and do you think any of that volume growth strength had anything to do with the warm weather?
Cheryl Beebe: I think it was – it may have helped, but again, I think that when we look at the portfolio of market segments that we’re serving in North America, the combination of solid beverage, solid brewing, confectionary, that it was a well-balanced quarter with the 4%.
Akshay Jagdale – Keybanc Capital Markets: Okay, and just one bigger picture question – I mean, obviously from my perspective at least, North American volumes were really very strong and probably one of the better quarters that I’ve seen in a while from a volume perspective, and as…
Cheryl Beebe: And we concur.
Akshay Jagdale – Keybanc Capital Markets: Yes, and I’ve been hearing a lot about Mexican demand in recent quarters, and I just want to make sure – so, you know, in the past, like, about a decade ago, there was this feeling that Mexico – there was huge opportunity which were still is, and a lot of capacity came on, right, and that depressed margins for the industry for a while. So, all though we are hearing a lot of good things coming out of Mexico now, can you just put that into perspective – I mean, I know you’ve talked in the last earnings call about not expecting any new capacity to come on, but just give us some perspective as to why the wet corn milling industry, you know, has maybe learned a lesson or something, is not going to over expand even though we are seeing good numbers in North America.
Ilene Gordon: You know, I think that if you look at the last couple of years, you know, we’re actually one of the local players in Mexico, and so, we’ve invested for the Mexican market for both the beverage and the food industry. Now, it is true that with NAFTA, we all have been able to ship down to Mexico to participate in the growth, and so, it’s been a balance system. But I think the industry has seen that it’s important, you know, to have good supply demand balance, and so, I think that the industry is looking at different opportunities, but that we’re very much in balance now, and that it’s a total system to basically supply the different industries. So, we – when we look at our own business, we look at the supply demand, and we see that it’s in balance, but at the same time, there’s opportunity for growth in Mexico. So, I think it’s balance and that you won’t see any large investments, but I can’t speak for what others might do in the particular industry, and I think, you know, when you go back – when you’re thinking way back, that’s a totally different industry, there were different dynamics, different tax rules, so, you’ve got to look at the last three or four years and how the industry has been able to provide a capacity for the growth in Mexico.
Cheryl Beebe: I would add – this is Cheryl. I would add one more piece of color to it, is that the growth expansion that was anticipated for Mexico over a decade ago was to add liquid sweeteners, and HFCS corn sweeteners, or substitution, and that has occurred and is balanced, and the market opened up with full NAFTA participation in 2008. No one would look for the same type of growth that that drove in the next 10 years as to what happened over the last – the past 10 years. And so, if you think about GDP growth in Mexico – GDP growth being relatively flat in the US, and Mexico being a couple of percentage points, you’re not talking about the need to add any type of significant capacity like what – that was done in the past.
Akshay Jagdale – Keybanc Capital Markets: That is very helpful, just one follow up on that same topic, Cheryl. So, in terms of the land rates if I may, of HFCS to sugar – our research suggests that sort of the carbonated drinks market there has reached limits. So, I just wanted to clarify in terms of the growth that you’re seeing is just growth in overall volumes not a shift in blending from sugar to HFCS, right? So, it’s like real growth?
Cheryl Beebe: That’s correct.
Akshay Jagdale – Keybanc Capital Markets: Okay, perfect, thank you, I’ll pass it on.
Aaron Hoffman: Great, and Wendy, we will take one more question, and then I think we will wrap up right at about the top of the hour that way.
Operator: Thank you, our final question is from Christine McCracken, and please state your company name.
Christine McCracken – Cleveland Research Co. : Cleveland Research. Thanks for taking the question. Just wanted to clarify quickly, and not to focus too much on Mexico, but the brewing businesses has it always been a significant contributor, is this all – the new growth, or some of the new growth that you are seeing in that market?
Cheryl Beebe: It’s a combination, sometimes it is – there’s a little bit more organic growth, sometimes it’s just year-over-year changes in supplier demand.
Christine McCracken – Cleveland Research Co. : Okay, but doesn’t – it’s always been a piece of that…
Cheryl Beebe: Yes, it has.
Christine McCracken – Cleveland Research Co. : And then just in terms of the sweetener market, because they have had a pretty big short fall in the sugar crop in Mexico, is that part of your optimism, around the growth prospects for sweeteners in that business?
Ilene Gordon: You know, I think it’s very much related to the GDP forecast in the country – you know, with the data that I see has them at 3.6% for this year – you know, as I said earlier, is one of the strongest economies. So, I think it’s really very much due to the local consumption in the growing economy there in Mexico.
Christine McCracken – Cleveland Research Co. : So, like 10% short fall in sugar production this year doesn’t really affect it then?
Ilene Gordon: No, we don’t see that as – doing a major shift.
Christine McCracken – Cleveland Research Co. : Okay, and then just in terms – last question, in terms of the industrial starch outlook, can you talk just about maybe what you’re seeing in the Brazilian market because I know that’s kind of been up and down, and I might have missed it earlier, it was a little earlier for me, but that seems to be an area that is very telling in terms of economic growth going forward.
Ilene Gordon: You’re talking about the industrial in Brazil?
Christine McCracken – Cleveland Research Co. : Yes, specifically.
Ilene Gordon: No, the industrial in Brazil, you now, I think it’s been lack luster, and I think that’s been one of the – obviously reflecting some of the economic slowdown in Brazil. So, I don’t see that growing in any major way in the short term in Brazil – you know, we see much more of the growth in food, confectionary, and brewing industry. So, the industrial industry, you know, it’s one of those things in parts of the world that’s still growing, but it’s a very slow growth in most areas of the world.
Christine McCracken – Cleveland Research Co. : Can you remind me, in terms of order flow, how far out you normally see, kind of – orders and does it vary by industries? So, you have a better kind of snapshot in maybe industrial given the lead times, or is it pretty much consistent across the different industries?
Ilene Gordon: I think it’s consistent across the different industries.
Christine McCracken – Cleveland Research Co. : And is it three months, or is it something less than that?
Ilene Gordon: Yes, probably that, a couple months.
Cheryl Beebe: It depends upon the customer, it depends upon the market.
Christine McCracken – Cleveland Research Co. : Okay.
Cheryl Beebe: So, normally it’s an ordering pattern of every 30 days in the international environment. The North American environment, there’s probably a little bit more visibility relative to your contract for the year, but you know, 30 day visibility from an order stand point, I think, it is probably reasonable.
Christine McCracken – Cleveland Research Co. : And it’s pretty consistent, there aren’t any kind of warning flags at this point?
Cheryl Beebe: No.
Christine McCracken – Cleveland Research Co. : Okay, great. Thanks so much, have a great day.
Cheryl Beebe: Thank you.
Ilene Gordon: Okay, so, this is Ilene. Just to – before we sign off, I know we are short on time, I just wanted to make a few final comments. And the corn products business model is performing very well and delivering strong results. In fact, the strength of the model becomes more obvious in difficult times when many other companies struggle to whether various headwinds. So we delivered a good quarter and a position to achieve our full year guidance, and we look forward to posting you on our growth and success in the coming quarters. That brings our first quarter 2012 earnings close – to a close, and we would like to thank you again for your time today, we look forward to talking to you more about Ingredion. Thank you.
Operator: Thank you. This does conclude today’s conference. Thank you for participating. You may disconnect at this time.